Operator: Good day everyone and welcome to the SonoSite first quarter 2008 financial results conference call. Today's call is being recorded. At this time for opening remarks and introductions, I would like to turn the call over to your host, Ms. Anne Bugge. Please go ahead madam.
Anne Bugge: Thank you Operator and good afternoon. This is Anne Bugge, Vice President of Corporate Affairs for SonoSite. Before we begin, SonoSite issued its news release after the market closed today April 28th, 2008 regarding financial results for the first quarter ended March 31st 2008. If you have not received a copy of this release, please contact SonoSite Investor Relations at 425-951-1333 and a copy will be sent to you immediately. You can also access the release on our website at www.sonosite.com under the investor section. A replay of the call will be available beginning at 04:30 Pacific time today and available through midnight Pacific time, May 23rd 2008. The replay number for US participants is 719-457-0820 or toll free 888-203-1112. The confirmation code is 8481608. Additionally, this call is being broadcasted over the internet and can be accessed via our website. I would like to remind you that this conference call contains certain projections or forward-looking statements regarding future events or the future financial performance of the company. Except for historical information discussed in this conference call, the statements made today, contain forward-looking statements that involve substantial risks and uncertainties. Actual results could differ materially because of factors listed in the management discussion and analysis section of the company's 2007 Form 10-K and in other filings and reports with the SEC. We do not undertake any duty to publicly update any forward-looking statements. Now I would like to turn the call over to Mr. Kevin Goodwin, President and Chief Executive Officer of SonoSite.
Kevin Goodwin: Thank you Anne. Also today on the call with us is Mike Schuh, Chief Financial Officer. 2008 is off to a great start. There are four highlights I want to emphasize for our first quarter performance. The strong momentum that began in Q4 '07 carried right on through to Q1 '08. Our international group has a strong team head. The US is steadily improving and our new products are off to a strong start drawing over 40% of revenue in Q1. Here is a quick run down of the quarter's financial highlights. Worldwide revenue was up $52.5 million, in total the worldwide revenue was up 23% or 19% when you lift the 4% foreign exchange gain. International was up 32%. There's six consecutive quarters of growth over 20%. In the US they were up 12% overall, a growth rate that was impacted by a 17% decline in the enterprise group sales. This is a lumpy business due to a number of factors and we expect enterprise revenue to be level for the year, however. And, I will provide more granularities on the components of the US revenue a little later. Gross margin was 72%, up two points over the first quarter of last year and 2.5 points up sequentially from Q4 '07. The gross margin benefited from both new products and a weaker dollar. From quarter-to-quarter, we do expect margins could move around a bit depending on the product, geographic, and channel mix as we saw last year. Total operating expenses grew by 10% for the quarter, was 6% excluding foreign exchange and the one time charge. R&D was flat in the quarter primarily due to the timing of some expenditures. There is no change in our outlook for R&D spending for the year. SG&A expenses rose 12% including the one time charge of 675K for the reduction of overhead and the negative impact from foreign exchange. When both of these are excluded, SG&A rose 7%, which we feel is a step in the right direction. EBIT was $2.4 million compared to a loss of $2.2 million last year. EBIT/S, which excludes the stock option expense was $4.3 million. Net income came at $1.2 million or $0.07 a share for the quarter even with the tax rate 44%. And on the balance sheet cash and investments grew to $315.9 million, an increase of over $6 million. Cash flow from operations was $7.3 million in the quarter. Some additional commentary now. A few words about the US revenue. Enterprise revenue was affected in the first quarter by reduced sales from Boston Scientific due to its divestiture of their vascular access division. This division has been selling our iLook products in certain US segments. US hospital was up 16%, which we thought was solid, and consistent with last year's first quarter growth rate. Many of you have asked about a slowdown in hospital purchasing due to the credit market environment. We have not seen any effect, although we did have approximately 14% of US revenue growth roll over in the quarter from Q1 to Q2, much of which is already booked here in Q2. The office group showed progress after the integration into our own channel. It was up 33% year-over-year, although it still lags 2006 sales levels. We see major growth potential in this sector and we think we will be able to begin to capitalize on it, more as the year goes on. Also of note, in the quarter, we introduced and began shipping two new products, an extension of our M-Turbo line, the M-OB/GYN, and our fifth S product, the S-MSK, which is for guiding musculoskeletal applications and procedures. In total, we have now introduced seven new products since October. Market reception has been excellent. We have more to come in terms of upgrades of new products as we move throughout the year. We continue to evaluate potential acquisitions that may broaden and strengthen our sales channels and overall business, but have nothing to report at this time. As far as our outlook is concerned, we have updated our guidance a bit. As I said, to many of you, management has a base-case for 2008. That base-case is that revenues will grow at least 15%, with gross margins of approximately 70%, with increasing leverage on our SG&A expense line. We therefore expect EBIT now to be between 9% and 10% of revenue in 2008. Also included in this forecast is for other income to be essentially zero given decreased market interest rates, and finally we expect a tax rate of 39% for the year, virtually all of which will be non cash. So with all that said I'm ready to open the call for your questions and then after that I'll make a few closing comments. We'll take questions now.
Operator: Thank you. (Operator Instructions). And our first question will come from Tycho Peterson with J.P Morgan.
Unidentified Analyst: Hi it's (inaudible) here for Tycho. Congrats on a great quarter guys.
Kevin Goodwin: Thank you.
Unidentified Analyst: A couple of questions in terms of trying to figure out the market dynamics here. Can you give us a bit more color in terms of the international growth, in terms of where you saw things coming, which areas were better performing especially given [appropriately] what a hand held item should be in the South East Asia.
Kevin Goodwin: Well all of our geographic segments internationally made progress and progress was more thorough in Q1 than we have seen in the past. It was arguably the best quarter we have had internationally in several quarters. So, if you break the world up into Europe, Middle East, Africa, Latin America, Asia etcetera, everybody showed growth, very solid. We don't break that out any longer because it created a lot of confusion historically, but I would say that we are very happy with our performance in Europe, Latin America, Asia, Japan; all came on strong. Canada, Australia, New Zealand all came on strong. So, overall we're feeling pretty good about the week-by-week, month-by-month progress. Our products do in fact play different roles in different markets in the affluent or more developed countries. It is truly a hand held portable. And as you move into some of the emerging markets, those machines tend to serve more purposes in just the portability point of care side of things. So, in general, we are feeling pretty good about the progress, and there is much more to do beyond.
Unidentified Analyst: Can you give a bit more, I think that a bit more color in terms of the shift from early replacement of existing equipment versus actually new market growth and your ability to penetrate that with a better product offering?
Kevin Goodwin: Well. You have to assume with us, and this has been the case for a long, long time. That the majority of what we get in terms of revenue is market stretching or market expanding purchases for the purposes of efficiency in the healthcare environment, better safety, better patient care throughput, just better overall physician performance. We are really not that heavily invested in and sourcing our revenue from cart replacement. Now, sure there is some, but the dominant revenue stream is really derived from market expanding purchases. We are getting good responses worldwide to the innovation. The price point, the functional breath in fact makes it attractive as an alternative in many emerging countries. Brazil, Russia, India, China, you see situations where physicians have multiple offices, so they can buy one of our machines and take it everywhere and that serves the purposes of both the portable and the dual purpose machine, stand alone stationery device. So, that’s really the best I can tell you on that in terms of our revenue.
Unidentified Analyst: I mean, to say, I have to ask the question in terms of market share. Can you give any commentary in terms of where you could give gains share then through market growth?
Kevin Goodwin: Well. We are focused on three real critical segments globally. Anesthesia, Critical Care and Emergency Medicine are the three primary focal markets. We are undoubtedly improving our market position in those markets at various speeds, and definitely improving our market share. Being a market leader in these segments, we tend to define the growth rate, because the growth is driven by the innovation of our products and also the education investment we make, and of course buying cycle. So, it's fair to say we're gaining share there without question. We also get a fairly good size chunk of our revenue on the hospital side from portable applications from traditional users such as OB/GYN, vascular surgery, cardiology and even interventional radiology. So, in general we are definitely making progress, we are really the only company who serves the markets that we serve with the technology that we are using. We do not approach our customers with anything but highly miniaturized, higher integration, highly mobile ultrasound tools.
Unidentified Analyst: Okay, great. Thanks for answering.
Operator: And our next question from Leerink Swann will be Jason Wittes.
Jason Wittes: Hi, thanks a lot. Just first a quick question on the guidance you provided. If I keep your top line the same and I punch in all your numbers, A, the operating margin upside is a nice surprise in the correct direction, but it does save a couple of pennies of my bottom line number, am I thinking about this in the right way?
Kevin Goodwin: Now let's turn it over to Mike. Mike?
Mike Schuh: Yeah, primarily because of the drop in other income and slightly higher tax rate.
Jason Wittes: Okay.
Mike Schuh: You'll get pretty close to where you were before.
Jason Wittes: Okay, so we should look at this as -- that the mixed, the makeup is different, but at the end of the day it doesn't sound like you're lower in guidance.
Kevin Goodwin: Oh no, we are not lower in guidance. The variables out of our control, our interest rates which were not measured on and don’t drive obviously. And, then the tax rate which will -- we will try to do better on that but it’s a non-cash item Jason. What really, really driving is EBIT and EBITS, and as far as I can tell we've improved our outlook on that.
Jason Wittes: Okay. And, also the way you're providing the guidance, it sounds like, you're saying a minimum of 15%, and I don't -- do you care to give a range, or you're just happy to keep it at a minimum at this point.
Kevin Goodwin: Well, let me make sure everyone is clear. There's nothing to read between the lines here. We are off to a faster start than 15%. We recognized that. We are not forecasting a diminishing growth rate per say. We have a plan on the management side of at least 15%. So, what we're really doing here is restating that. Now as we get to the second quarter, we'll give you a more updated point of view on the second half, because we'll have half the year behind us. We're only 90 days in right now.
Jason Wittes: Right.
Kevin Goodwin: We could indeed grow faster than 15%. That'll be dependent largely on whether the international group continues to stoke it at a plus 20 rate. If that happens, I think we'll naturally come in at a higher rate than 15. And, on the US side, they're just showing good steady progress. You'll see the year-over-year comparison start to get better on enterprise. We see office improving, and I see hospital making steady progress. So, really, you have to think of what we're saying as management's base plan, and we'll give you more data as we get more comfortable with what's visible.
Jason Wittes: Okay, that's fair. Now, the other thing I wanted to ask you about, in terms of the outlook for the SG&A -- for the P&L. The SG&A expenses definitely came in lighter than we expected, which is a good thing. A, you know, where are those cuts coming from, and B, will those cuts continue throughout the year or have you made a large chunk of them already this quarter?
Kevin Goodwin: Well, you'll see the changes we've made structurally in Q1 which were represented by a small one time charge. We'll unfold into P&L during Q2, Q3 and Q4. They'll be most pronounced in the second half, and what I would say is, we reduced a lot of what I would call overhead in the marketing area and G&A area from the SG&A line. We've done nothing in terms of, nothing at all in terms of reducing muscle or focus or force, but you will indeed see some favorable comparisons as the second half unfolds in terms of SG&A versus prior year. Last year was a heavy spend year. We're getting the dollars more focused now and much more focused on cause and effects, and I would not read anything into this but a positive which is we're just getting leaner and hopefully meaner.
Jason Wittes: Okay and just to switch gears here, I think you have said before, you said about, I think it was 40% of your sales were new products. I think you've also implied at times that the M-Turbo is outselling S-Turbo by about 4 to 1. Is that still accurate and could you give us a little more color on terms if you got, you have I guess about 5 new products out this quarter. Can you give us a little bit more color in sort of what's in that 40% number that you've provided in the press release?
Kevin Goodwin: Well we're not going to break that down today, but I will tell you the S has started to pick up momentum. We see an increased opportunity for the S line. I think the S line with its zero-footprints overtime will be a market stretching technology. We're seeing people really respond favorably to the idea of a zero-footprints, high performance tool with two buttons. So that's got a ways to go yet. That's, it's an option process. M-Turbo really was a major upgrade in performance on the packaging strategy used on the MicroMaxx. So yeah, that the mix is heavily weighted as we speak toward M-Turbo, S is coming up on the right flank pretty strong, MicroMaxx is holding steady and those are the three dominant drivers of our revenue portfolio right now. And, I think it's important to understand that we'll be adding mode innovation into that mix as the rest of the year unfolds, products and other innovations that should stoke it. So, all up we're poised, I think to have a good year as long as we can keep going.
Jason Wittes: Okay. One last question and that is any updates on potential for acquisitions. Is this still a near-term event or should we be thinking of this more towards the end of the year?
Kevin Goodwin: I think it's, as I always said, we anticipate it possibly to flush the gap before the year is over. That’s really the position we've taken. So, I think just be patient and I believe that.
Jason Wittes: And we, it's still fair to assume that it wouldn’t be, it would be accretive or how should we be thinking about that?
Kevin Goodwin: Those have been our criteria, it remain our criteria, so.
Jason Wittes: Fair enough.
Kevin Goodwin: So, we will continue with those criteria.
Jason Wittes: Thanks a lot, Kevin.
Operator: And moving on our next question will come from Charles Chon with Goldman Sachs.
Charles Chon: Hi everybody. Thanks for taking the question.
Kevin Goodwin: Yes, Charlie.
Charles Chon: So, just taking a look at the P&L, was there any positive contribution to the bottom line from foreign currency during the quarter? And, if so could you quantify that for us?
Kevin Goodwin: Yeah. I'll turn over to Mike Schuh. Mike?
Mike Schuh: Yeah, Charlie, the contribution was a 1 on the gross margin line offset by about 800,000 increase on expense item.
Charles Chon: Okay. So does that basically watch itself out at the bottom line then?
Kevin Goodwin: No, would have been, no would that, if you take one percent of gross margins and subtract that 800K you get a positive influence of.
Charles Chon: Right a penny.
Mike Schuh: No, it's the positive influence of about a $1 million.
Charles Chon: Okay. Okay, great. Thanks. And, as we are thinking or contemplating this increase in guidance for operating margins for the remainder of the year, should we assume that some of that is being driven by the benefit from foreign currency going forward?
Mike Schuh: Well right now, we're not assuming any change in the rates as we see them today. Obviously, the dollar weakened throughout the year last year. So whatever impact from foreign currency will be sort of in the near-term and not later in the year.
Kevin Goodwin: Yes. Charlie we entered the year assuming no exchange gains up and down our P&L in Q1 for the year. We anticipate and our plan reflected in our guidance to have no gains from exchange throughout the year. We structured the business that if it grows 15% we get a pretty good leveling of SG&A and that what's driving the improving operating endpoint for us, which is exactly what we wanted to do.
Mike Schuh: Charles, I would say right now the major gains that we see are primarily coming from Europe, our operations in Canada and Australia are a little bit smaller and actually the pound hasn't really moved all that much since the end of the year.
Charles Chon: Okay. Thanks for that. Actually just two more questions -- actually three more questions. First of all, when we take a look at the 19% operational growth during the quarter, to the extent that you can, could you break that down for us between volume, price, and mix?
Mike Schuh: Revenue was up.
Charles Chon: On a constant currency growth, right?
Mike Schuh: You mean, revenues you are talking about?
Charles Chon: Yes, that's right.
Kevin Goodwin: How did you want it…
Mike Schuh: Well, 4% was exchange, of which 23% nominal growth, less 4% for exchange gains brings us down to 19% net organic growth.
Charles Chon: Okay, and shall I assume that the bulk of that was volume and then you got a little benefit from mix?
Kevin Goodwin: Yes, that’s true, that's fair.
Charles Chon: And could you quantify for me how much benefit you got from the mix?
Mike Schuh: No, we're aren't going to break that out, but as usual we'll always comment on what is driving a change, good or bad in the revenue and the margin line. In the first quarter, new product mix helped margins and revenue of course, and exchange helped margins and revenue of course. Those are two primary drivers. The fact that we had a strong portion of our revenues come from the new products gave us a lift on both counts. New product acceptance, market share gains etc.
Charles Chon: Right. Okay. And then, can you tell us a little bit more about what happened in the enterprise business. I noticed that enterprise was actually strong for you guys in the fourth quarter. So maybe some of softness, may have been related to the 4Q being so strong?
Kevin Goodwin: No, not at all.
Charles Chon: Okay.
Kevin Goodwin: In fact, this is a great reason why we don't give quarterly guidance anymore.
Charles Chon: Okay.
Kevin Goodwin: No, quite seriously. Because these things can ebb and flow. We have a very good outlook for the remaining three quarters and future in our enterprise sector. Enterprise sector is dominated predominantly by US government, military, which as you all know, can be lumpy. Other distribution channel relationships we have with other partnerships in the veterinary market, and places like that, and then historically, with Boston Scientifics’ oncology division. Now they made up a big chunk of that revenue historically, and because they've been sold off into private equity land, they'd had some challenges, and we just had less revenue from them this quarter. And so our outlook there is less, but our outlook in the other areas is actually better. So there is, alongside this negative trend with BSX or former BSX, we are seeing positive trends in the other components of enterprise. So if you model the business, Q2 through Q4, we'll see a nice uplift in each of the quarters, we believe, depending on whether the orders come in on time. But we certainly are very bullish. And then we see our other channels, hospital, office, making continued progress, and then international.
Charles Chon: Okay. And when you -- and as we think forward, do you have any visibility as to when we could see some of that enterprise business go through or if there its just, we'll just have to wait and see what you guys report in the numbers.
Kevin Goodwin: Yeah. I think you'll have to wait and see but we're pretty optimistic about the rest of the year.
Charles Chon: Okay.
Kevin Goodwin: So I don't want our investors to interpret this as a negative or a hidden negative. It is what it is.
Charles Chon: Yeah.
Kevin Goodwin: We are doing well despite the drop-off in the relationship revenues through the former BSX division; I mean two things happened in the quarter that worked against us. We had about 14% growth on the hospital sector float forward on us. That's not unusual. So that has been largely captured in Q2 and I wouldn't add it to your numbers but it's been captured. And then we had the BSX situation that was down but we still turned in pretty good numbers.
Charles Chon: Okay and my last, I just want to go back to my first question Mike on the foreign currency. So by my math, if I take a look, if I run these numbers, one percent of sales, that was bit on the gross margin and that amounted to about $500,000 and then you said that there was an $800,000 drag on OpEx. That actually nets out to roughly $300,000 in terms of a difference there.
Mike Schuh: Yeah, we did…
Charles Chon: Negative actually so, in actuality I might, maybe my math is telling me something wrong here but it certainly doesn't jive with the $1 million benefit that you're speaking of.
Mike Schuh: Yeah I know, but you got the 4% gain on revenue, which was about $1.8 million and from that you take the $800,000 of cost for a million dollar net. And when you do the math it just works out to be a 1% change on the gross margin because you got both the component of gross margin and revenue associated with it.
Charles Chon: Okay.
Mike Schuh: So look at the 4% revenue growth and then net that against the cost.
Charles Chon: All right. Got you. Okay. Well, thank you very much.
Mike Schuh: Okay.
Operator: (Operator instructions). Moving on to RBC, we will hear from Alan Robinson.
Alan Robinson: Thank you. Good afternoon. Clearly, a very strong performance in the physician channel this quarter. Could you just give some colors to what was driving that, I mean clearly we had relatively low numbers a year ago, so that may have been part of it. But to what extent you feel these channels are actually hitting a stride now and perhaps you can give some color as to your outlook for this channel this year?
Kevin Goodwin: Well. Nowhere near full potential, candidly they -- within the process in the first quarter of internalizing that group, that division from an outside company to SonoSite, we had a fair amount of turnover in the quarter. However, we split the office sector up largely among the existing reps that stayed as well some new ones were hired. And then a few of our other territories, picked up some office responsibility. They were otherwise solely focused on hospital in the past and they simply made good progress. And yeah, the numbers are still low. And there is a long way to go, but encouraging results. So one quarter doesn’t make a story. But certainly there the folks showed really good progress.
Alan Robinson: Have you reverted now to the system you had before whereby certain sales execs were servicing hospitals and physicians channels or are you keeping that separate?
Kevin Goodwin: Somewhat. There are some hybrid territories as we call them.
Alan Robinson: Okay.
Kevin Goodwin: But the majority of our effort in the office is built around 22 person sales channel in the US.
Alan Robinson: Okay. And are there plans to expand that channel further in the current year?
Kevin Goodwin: We are studying our longer-term strategy given the fact we are getting increasingly good visibility on market dynamics and we are studying market potential and things like that and I don’t see any short-term changes at all.
Alan Robinson: Okay. And in terms of products you mentioned iLook that’s been with this for quite sometime, what's the outlook there, is that going to be replaced by the S-Cath units or are you going to keep iLook going for little while?
Mike Schuh: Well, iLook still runs and then the S-Cath certainly is moving into the market where vascular access is being done, where there is a lot of growth, then there are solutions coming even still out of our heavy R&D investments. So, in general we'll be overall the vascular access market and iLook will be part of that for while.
Alan Robinson: Okay and Mike, just a clarification if you will, could you repeat the roll over in sales that you experienced between Q1 and Q2 or rather the extensive of the roll-over that you'll expect in Q2?
Mike Schuh: Well, Alan as I said approximately 14% year-over-year growth for the US sector rolled over, I'm talking US sector that would have been about 7% growth for the company overall, if you can just split the revenues in half and that rolls over in to Q2, the majority has been booked. I would not add that to the numbers in the second quarter. I just want to remind everybody we really don't give quarterly guidance; we'll give you a management plan objectives of outlook for the year end. Each quarter can ebb and flow; we could get a strong uptick as a result of the roll over or it could be normal more linear as usually as so. Just have to be careful of that.
Alan Robinson: Just to clarify, if we had not have that roll over and in fact those revenues have been booked in the first quarter, you would have seen 23% plus 7% or 30% growth. Is that the right math?
Mike Schuh: That’s fair. Yes.
Alan Robinson: Okay, good. And then Mike what was the total options expense or rather what is the total options expense that you anticipate for the this year?
Mike Schuh: It fair to say about $8 million for the year.
Alan Robinson: All right, there is no change there, and also just to clarify, did you say your net interest income is expected to be zero for the year, or did you say your total other income is expected to be zero?
Mike Schuh: Total other income is expected to be zero.
Alan Robinson: All right, got you. Okay, thank you.
Operator: And moving on, we'll go to Charley Jones with Barrington Research.
Charley Jones: Congratulations, guys. Great quarter.
Mike Schuh: Thank you.
Charley Jones: Quick question on your gross margin, like I was wondering whether or not the other percent came from the transfer from MarketBridge to your in-house team?
Mike Schuh: No, I don't think you would see any changes due to that.
Charley Jones: Okay, so what would you relate it to, just better volumes and spread in your overhead?
Mike Schuh: Yeah, just a change in the mix of products due to higher and also maybe due to the larger percentage from our direct operations. Just purely a mix issue.
Charley Jones: Okay. Just a couple of questions, Kevin. How is OB Turbo different, and then, can you discuss the transition a little bit more from MarketBridge, and how many people do you have there? Was the SG&A a little bit lower in the quarter due to more people leaving them and people being hired later in the quarter to add to your cost, related to that transition.
Kevin Goodwin: Well, we're making progress. OB is a strong segment for us. It's just getting stronger as a result of our increased focus and our product focus. So I would look for that to be a healthy source of revenues going forward. And as every quarter goes on, the time is a benefit for us as we improve our practices in the office market, with the group that we've just internalized. And that's the way we're thinking about it. So as we head to the end of the year, we'd like to move right on through 15% growth, and achieve the other components on our P&L, and do so with strength.
Charley Jones: A couple of things. Can you tell me how many people you had started the quarter with, and ended the quarter with in MarketBridge, how many left and how many came? And then, if I could push you on revenue guidance. It was an excellent quarter obviously but is it fair for us to leave the rest of the three next quarters at 15% or higher or at least at 15% or as you're in a tough quarter where maybe we bring it down a little bit below 15%.
Kevin Goodwin: Well I don't, we don't give quarterly guidance, we would prefer you just take a conservative posture on any given quarter and when we get visibility we'll give you more of an update. So right now I think that's a minimum way of doing it and probably a good way of doing it, is just keeping it at 15% but in general but we don't try to give precise quarterly guidance on any of those things. But certainly as we knock off the second quarter we know we're optimistic. If that comes in strong we'll have a good picture for you with half the year behind us and we'll be able to go from there. As far as the sales reps are concerned I think we probably had middle teens, 14-15 reps as we entered the process, the transition and I believe we exited the quarter with about 20-22 reps, somewhere in there, so that organization was really not at full capacity or anything close to it when we went through the first quarter. So they turned in some good numbers for being fairly depleted in the transition stage. Now having said that our sales management did a very good job with them in my opinion. So they did a nice job of making a step forward in how they were managed and supportive.
Charley Jones: Last two quick questions; can you talk about the technological differences of Turbo OB and how that's different and how that's going to help you. And then my last question, sorry it relates to SG&A spending. Do you think that your G&A will be positively influenced towards the backend of the year from lack of legal expense and how much was there in legal expense in the quarter? Thanks.
Kevin Goodwin: Okay well let me just say that the company is driving this Turbo platform, which exists inside of our M-Turbo product line including the M-OB as well as our entire S product line. And it is the state-of-the-art in terms of integration on to silicon, complete end-to-end control and integration by SonoSite onto a silicon chipset, of high performance ultrasound. And so that's what we do, is we really run a very integrated device. It is much akin to a smart phone in terms of how it's designed. It's heavily again, integrated to silicon and that's what we specialize in. And we combine that with the bunch of know-how in technology for imaging and transducers and that's where the company has a real competitive advantage. So that resulted in this fourth generation Turbo platform, which is driving the M-OB and potentially other M products as well as the S product line. And that technology is doing very well. We are also taking advantage of other technology, which is force multiplying our strength. That technology includes a Texas Instruments Da Vinci Chip and Windows CE, which is very, very good for mobile device and fits our very, very exacting specifications. So that's the way to think about us in technology. On SG&A, basically we are structuring our SG&A with the continuous flow of legal expenses. We have no expectations of those expenses declining anytime soon. So the way we structured our business is that those legal cost, what I call variable litigation expenses, will stay in there at the current rate for potentially a long time. And we still feel we can bring SG&A in at somewhere between zero and four percent growth this year on last year, depending on the revenue line. So the revenue line comes in at a healthy dose above 15%, you will see a little higher growth rate up in the three or four percent rate in SG&A. If the revenue line comes in more towards 15%, then you are going to see a lower SG&A growth rate more towards 0% to 2%.
Charley Jones: That's very helpful. I'll get back in line and I have one more, can you qualitatively talk about the Golden Triangle and if any one of those segments was very strong. Nice quarter thank you.
Kevin Goodwin: All are good. They are all moving along nicely, solid performance and continued development of those markets. Remember, SonoSite is a market development driven company. So we are seeing good response, good up take, we are seeing a globalization of those markets and so we remain encouraged about the long-term outlook.
Operator: And Mr. Goodwin, it appears there are no further questions. I will turn the call back to you for any additional or closing remarks.
Kevin Goodwin: Okay, thank you. So everyone thank you for participating on the call. On balance we certainly thought it was strong quarter as usual. At least one of us thinks we still have work to do. And we're going to continue to make progress in improving. The quarter was a great way to start off our 10th year as a public company. We are heading into year 11 and we are very encouraged about the next 10 years and the last 10 years our revenues grew nearly 20X in nine years of shipping and the management team is very focused on the targets of 15% revenue growth, 4.5 times improvement in EBIT, and maintaining our market leadership with innovation and focus. So, with that we will leave you here and look forward to a great call in July. Thank you.
Operator: And that does conclude today’s conference. We would like to thank you all for your participation.